Operator: Good day, ladies, and gentlemen. Today, we are hosting a conference call to discuss the 2024 first quarter financial results for VIQ Solutions Inc. [Operator Instructions]. For questions and answers regarding recent disclosures or any other matter, please reach out directly to the company using the contact details on the company website. Your host for today is Audrey Liu, Corporate Finance Controller for VIQ. Please go ahead
Audrey Liu: Thank you. Good morning, everyone, and welcome to VIQ Solutions' 2024 first quarter financial results conference call. Before we begin, I would like to point out that certain statements made on today's call contain forward-looking information subject to known and unknown risks, uncertainties and other factors. For a complete discussion of the risks and uncertainties facing VIQ, we refer you to the company's MD&A and other continuous disclosure filings, which are available on SEDAR at sedar.com. As a reminder, all dollar amounts are in US dollars unless otherwise stated. With us today, we have Sebastien Paré, CEO; Susan Sumner, President and COO; and Alexie Edwards, CFO of VIQ. I will now turn the call over to Sebastien Paré to begin. Sebastien?
Sebastien Pare: Thank you, Audrey, and welcome, everyone, to our first quarter of 2024 earnings call. In our last earning calls, as recently of March 28, we made reference to clearing the way forward to 2024. Q1 results came in reinforcing the trends that we saw in Q4 of last year. Q1 results were significant on several fronts. Directionally, the adjusted EBITDA path is the result of five specific factors. Number one, the commercial competitiveness and the positioning of our technology platform, both NetScribe and aiAssist. Number two, the human adoption of our own domain-specific AI is making its way. The previously announced cost reductions are starting to yield results. The price increase adjustments are starting to be reflected and the launch of some of the larger bookings in the insurance segments that we announced last year. These five drivers have laid the foundation for continued financial improvement as the year develops. We remain committed to the core elements of returning the company to both positive adjusted EBITDA and cash flow in 2024. We more or less closed the gap in Q1 and we plan to build on that new base in Q2 and trail the second half of 2024. Our AI is built on vast amount of specialized domain-specific data, human expertise and supervised learnings. These are directly tied to the adoption rate of our technology by our global production teams and the acceleration of the revenues, which align with our software as a service and platform as a service products. Legal documentation usability and accuracy is at the core of our global adoption that is underway among our customers. The confidence in our technology has facilitated a much more aggressive pivot of the solutions we present to our current and new customers. We continue to lean into this disruption. We're very proud about the growing number of customers, including law firms and courts that subscribe to our technology are renewing and expanding their use of our workflow and AI tools to implement critical -- supplement critical shortages in court reporting resources globally. We have spoken about the many challenges in the industry over the last several years. While we still have a significant amount of work ahead of us, the results in each of the months of the quarter demonstrate strong incremental progress once the seasonality of the courts segment in January was over. One quarter certainly doesn't make a trend, but coming out of the most challenging quarters so strong with incremental improvement each month is a clear validation that the hard work we've invested in technology, AI, operation and cost reduction is working. Such validation does position the company well for 2024 and 2025 with much stronger positive financial growth going forward as the industry continues to expand towards AI advancements at a much faster rate than anybody expected. Our industry is clearly expanding, undergoing a tangible AI revolution alongside clients, a large amount of data and human experts collaborating an industry made court work. VIQ is leading globally on how AI enables human quality content creation at scale for legal documentation. I will now turn the call over to Susan Sumner to discuss some of the operational highlights. Susan?
Susan Sumner: Thank you, Seb. Q1, which is heavily impacted by seasonality in Australia, is typically the lowest revenue-generating quarter of our year. Our technology platform migrations in Australia to NetScribe is being embraced not only by our transcribers, but also by our customers that are not only adapting to the technology but engaging in the acceleration of disruption within the courts and legal sectors. Our results thus far this year show we are delivering as expected. In particular, we are encouraged by the recovery of our run rate in the US verticals, such as insurance and criminal criminal justice. We are also excited by the long awaited implementation of one of our top insurance companies in the United States. This organic win is a meaningful contract that will help fuel and fortify favorable trends in 2024. Innovations that will be released in the next quarter will top off the requirements to fully execute and solidify our position as both the services and technology need in all of the geographies where we operate. We have solved significant problems in delivering usability of multi speaker content in our strategic verticals. Now our focus is on delivering highly complex documents in their final format. It is that last mile that has challenged this industry in the desire for disruption. Solving for this level of complexity is a perfect combination of depth of our knowledge of workflow and technology married to the utilization of micro domain-specific language models that will create legal records in final form directly out of NetScribe. Unlike other competitors that drop a draft document to the court rooms and need the court rooms to deal with it, someone else needs to touch it to make it usable, accurate and final. From depositions to court records, we see our technology as a game changer. We will fully deliver a final document fit for purpose without those multitude of handoffs. We always consider the why. The answer is clear, with our technology we bridge the global capacity gap, improve the time to deliver, and increase access to documentation today that is limited by the cost to produce this content. We are reaping the benefits of the stabilization of our workforce. We have talked about the challenges and capacity for several years. We have turned this corner. And while in our industry where there is more demand than supply, we have adapted to training editors across the globe to utilize this technology to augment production capacity to fill these gaps. We are truly eating our own dog food, so to speak. This improvement in capacity and also the technical reach allows us to increase revenues, drive further cost reductions and expand our workflow tools to drive enterprise SaaS opportunities within the courts, law firms, transcription companies and deposition companies around the world. Our focus, commitment and innovation while long awaited has taken us on a critical journey that is leading us to an extraordinary 2024. And now, I will hand it over to Alexie Edwards to review our financial progress.
Alexie Edwards: Thank you, Susan. Good day, everyone. Let me recap a few of our first quarter 2024 financial highlights. Revenue of $9.9 million, a decrease of $0.1 million or 1% from the same period in the prior year. Excluding the impact of foreign currency exchange, the company would have reported revenue over the same period in the prior year of 0.4%. Gross profit of $4.4 million, which was similar to the same period in the prior year. Adjusted EBITDA of negative $0.1 million, an improvement of $1 million or 91% from the same period in the prior year. Net loss of $1.8 million, a decrease of $1.6 million from the same period in the prior year. As a company, we are very pleased with the significant improvement of approximately $1 million to adjusted EBITDA quarter over quarter and truly excited about our prospects for 2024. We executed on progress against the strategic initiatives we set in motion at the beginning of 2023, continuing through the first quarter of 2024, which have resulted in significant cost reductions. Improving VIQ's adjusted EBITDA performance continues to be a top priority. And we continue to stay focused on solid execution for our customers and delivering on our strategic priorities and financial targets. Seb?
Sebastien Pare: Thank you, Alexei. Thank you for listening today. Please do not hesitate to reach out to the company directly for follow-up questions. We are already halfway through Q2, and we plan to bring Q2 results as quickly as possible mid-August. Meanwhile, the virtual Annual General Meeting is scheduled for June 5, at 10:00 Eastern Time. Mailing of the circulars by the TMX have started last Friday. Now, I would like to hand it over to the operator for closure.
Operator: Thank you. For questions and answers regarding the recent disclosures or any other matter, please reach out directly to the company using the contact details on the company website. Thank you for joining our call today. This now concludes our conference call. You may now disconnect.
Q - :